Executives: Joe Elgindy - Director, IR and Strategic Planning Bruno Guilmart - President and CEO Jonathan Chou - SVP and CFO
Analyst: Krish Sankar - Bank of America Merrill Lynch Tom Diffely - D.A. Davidson Kevin Niggli - Lista Capital David Duley - Steelhead Securities
Operator: Greetings and welcome to the Kulicke & Soffa Fiscal 2014 First Quarter Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator instructions) As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Mr. Joe Elgindy, Director of Investor Relations and Strategic Planning for Kulicke & Soffa. Thank you. You may begin.
Joe Elgindy:
Bruno Guilmart:
Jonathan Chou:
Bruno Guilmart:
Question:
and:
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Krish Sankar with Bank of America Merrill Lynch. Please proceed with your question.
Krish Sankar:
Jonathan Chou:
Bruno Guilmart:
Krish Sankar:
Operator: Thank you. Our next question comes from the line of Tom Diffely with D.A. Davidson. Please proceed with your question.
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Bruno Guilmart:
Jonathan Chou:
Bruno Guilmart:
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Jonathan Chou:
Tom Diffely:
Jonathan Chou:
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Bruno Guilmart:
Tom Diffely:
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Kevin Niggli with Lista Capital. Please proceed with your question.
Kevin Niggli:
Jonathan Chou:
Bruno Guilmart:
Kevin Niggli:
Jonathan Chou:
Kevin Niggli:
Jonathan Chou:
Operator: Thank you. Our next question comes from the line of David Duley with Steelhead. Please proceed with your question.
David Duley:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
Jonathan Chou:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
Jonathan Chou:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
Jonathan Chou:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
David Duley:
Bruno Guilmart:
Operator: Thank you. Ladies and gentlemen, we have come to the end of our allowed time for questions. I would like to turn the floor back over to management for closing remarks.
Joe Elgindy:
Operator: Thank you ladies and gentlemen. Thank you for your time. Today’s call has ended. You may disconnect your lines at this time.